Operator: Ladies and gentlemen, thank you for standing by and welcome to the MediPharm Labs third quarter financial results earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during the session, you will need to press star, one on your telephone. Please limit yourself to two questions before returning to the queue.  Please be advised that today’s conference is being recorded. If you require any further assistance, please press star, zero. I would now like to hand the conference over to your speaker today, Laura Lepore, Vice President, Investor Relations. Please go ahead, madam.
Laura Lapore: Thank you Operator and good morning everyone. With me on the call today are Pat McCutcheon, Chief Executive Officer, Bobby Kwan, Chief Financial Officer, Warren Everitt, Chief Executive Officer Asia Pacific, and Keith Strachan, our President.  Before we begin, please note the following caution respecting forward-looking statements which is made of behalf of MediPharm Labs and all of its representatives on this call. The statements made on this call will contain forward-looking information that involves risks and uncertainties, including those introduced by the COVID-19 pandemic. Actual results could differ materially from a conclusion, forecast or projection in the forward-looking information. Certain material factors or assumptions were applied in drawing a conclusion or making a forecast or projection as reflected in the forward-looking information. Additional information about the material factors that could cause actual results to differ materially from the conclusions, forecasts or projections in the forward-looking information and the material factors or assumptions that were applied in drawing a conclusion or making a forecast or projection as reflected in the forward-looking information are contained in MediPharm Labs’ filings with the Canadian and provincial securities regulators, which are available on the SEDAR website at SEDAR.com. Now with that, it’s my pleasure to turn the call over to Pat.
Pat McCutcheon: Thanks Laura, and good morning everyone.  I’ll cut to the chase - financially, Q3 was disappointing. On today’s call, we will discuss the reasons why and the actions we are taking as a result of the quarterly performance. The good news in the quarter is that even though we are at a very early stage, I was pleased with the progress we’ve made since our last call in transitioning our company to serve global medical and wellness markets as a sophisticated pharmaceutical company. The recent partnership with STADA, the European leader in generic drugs, health and wellness is arguably one of our most significant achievements to date and puts us in a unique category within the global cannabis industry. The deal, which took over a year to complete, is a clear illustration of what’s possible for our differentiated GMP platform.  We expect our STADA partnership along with more than 30 other customer contracts in eight countries to begin generating revenue growth early in 2021. This will justify the investments we’ve made to establish our pharma capabilities; in fact, I can say with certainty that STADA would not have become a partner of MediPharm labs without executing on our GMP certification in Canada and Australia. First to our results, so far in our history our revenue has come from the sale of bulk concentrates of resin and distillates and the vast majority being distributed in Canada. As you know, we enjoyed early success in the B2B bulk extracts market when cannabis was first legalized in Canada. We purposely used revenues from this business to fund the start-up of our higher value pharmaceutical manufacturing activities and deployment of our international distribution strategy. Over the past three quarters, we have seen this segment of the Canadian cannabis industry change significantly. This is being influenced by a number of new players and many of the major LPs that have transitioned to selling bulk to compensate for the lack of growth in their core business model. Demand for our finished formulated products in the retail channel grew over 30% in the quarter; however, early industry projections on expansion of retail outlets and new Cannabis 2.0 products have not been realized in the timeline that the market expected.  As a result, there has been a steep decline in demand for bulk concentrates and pricing pressure brought on by acute over-supply in the market, combined with an immediate associated price drop. This caused our revenues to decline to just under $5 million in the quarter. As a result, on much lower revenue and despite cost containment measures, adjusted EBITDA was negative for this quarter. Our pharma future is about ready to take off and we are not relying on the bulk concentrate market to bridge the gap. While we remain opportunistic, it is no longer attractive from a margin perspective and is currently not economically viable. In hindsight, the cost actions we took were not significant enough or deployed fast enough to align with the bulk market’s downturn. Some of the Q3 expense reductions happened too late in the quarter to make a difference and will have greater impact in Q4. As a result, we are executing on a number of additional cost containment strategies to protect our earnings. Accordingly, over the past few weeks and with the full support of our board, we commenced a stem to stern operational review to identify areas for improvement. Number one, we are actively enhancing our financial management to better align costs with the timing of sales generation. This means expense reduction is top priority. In Q3, continuing to search for opportunities to right-size our business. This is in addition to the actions taken earlier this year that included employee reductions, a 10% decrease in executive management salaries, the elimination of discretionary expenditures, and company-wide cost containment measures. As a result, subsequent to the quarter we further reduced FTEs throughout our upper management ranks while also reducing inventory, ongoing service costs, and reducing the need for capital project consultants. There will be a cumulative effect from these actions which means more impact in Q4 as our costs continue to drop. We expect annualized cost savings of over $3 million.  I want to be clear here - I’m confident that we will not negatively impact our ability to serve customers, meet future market demand, or slow our path to global pharmaceutical and medical markets.  To inform our cost and efficiency improvement actions, we tapped into SAP to target opportunities for process streamlining, and we will make the most of our increased visibility as the system affords we move forward. SAP implementation costs themselves will also fall away in January 2021 but is a required element to build trust and confidence in major pharma contracts existing and new. The essential aspect of our expense drivers is procurement of cannabis inputs. We’ve arranged for much more attractive supply costs. This will lead to improved margin performance beginning early in 2021.  Number two, we will continue to shift our focus from B2B wholesale contracts to contract manufacturing of finished formulated goods. Currently under our traditional white label and CMO services, we are producing a total of 22 vape SKUs. In addition to these evolving contracts, we are now targeting more unique opportunities like the one that saw us provide a manufacturing partner with the labeling and distribution of 46,000 units of soft chews just in last month. Number three and in recognition that we can’t cut our way to growth, we recently made significant enhancements to our sales and marketing strategies. In fairness, I think the team has done a great job in securing excellent customer contracts that will produce meaningful revenue in our target global medical and Canadian markets.  Late Q3, we consolidated sales and marketing under our leadership of our new VP of Sales. We are intensifying focus on our core future medical, wellness, and adult use markets. Across these target markets, our priority will be to produce finished goods. We have gained traction with this approach with finished formulated product sales growing to comprise 57% of Q3 revenue, up from 16% in Q2 2020.  Commercialized SKUs grew 13% and now include tincture bottles, topicals, isolates, capsules, sublingual sprays, and various formulations for edibles and beverages. As mentioned earlier, our sales team is currently driving a 30% quarter over quarter growth in our Canadian adult use provincial sales. I expect to see this base grow as we introduce more SKUs and enter Quebec for the first time in Q4. These investments in adult sales marketing initiatives came in mid-Q3 2020. We are already seeing great success. For example, our 510 vape cartridges are top sellers in BC and two of the top 15 SKUs in Ontario. Our MediPharm flagship oil, CBD 50, was the third highest selling oil SKU in Canada. In late October, we were first to market with a consumer-sized 99% pure CBD isolate crystal through the launch of our LABS Cannabis CBD isolate which targets a broad range of consumers and medical patients. This is an incredibly popular product in jurisdictions like Colorado and California and currently we are seeing the same excitement here in Canada.  Let me talk about our own branded B2C products. Becoming more efficient serial producers of differentiated LABS Cannabis products is critically important, and we have the capabilities to do this. Our product road map specifies that we will introduce our next LABS Cannabis formulations in early 2021. Stay tuned. This is a big start, and we expect more positive growth in these segments. Geographically, we will drive sales in Canada and abroad in a more aggressive fashion.  Turning to our goal medical pharmaceutical strategy, we have promising opportunities for near term growth starting with our STADA pharmaceutical partnership announced in late Q3. Under this agreement, MediPharm Labs will export GMP certified finished product and cannabis API to Germany beginning in February 2021 with a plan to expand to other newly approved European markets over time. This is a first of its kind agreement for the cannabis industry and is a door opener for MediPharm Labs with other pharma leaders looking to enter the medical cannabis space. Germany is a rapidly developing market for medical cannabis. STADA is an exceptional partner and one of the first major pharma companies to enter the cannabis market. Given the extent of its pharmaceutically trained field team, market penetration across 120 different countries and reputation in the European medical community earned over decades, we are well positioned to build our presence in the German and European markets.  Key to our international strategy is Australia. Under Warren Everitt’s leadership, we continue to ramp up our customer base for MediPharm Labs Australia. Of the 30-plus sales agreements we now have in place around the world, 12 have been secured by our Asia Pacific team. Our decision to deploy our balance sheet to acquire 100% of MediPharm Labs Australia positions us to take full advantage of these opportunities and with full control. I’ll now ask Warren to update you on his progress. Warren?
Warren Everitt: Thanks Pat. I’m very excited to be here with the team on this call.  This has been a very exciting, productive year for MediPharm Labs Australia. We are now executing in our state of the art GMP platform. Executing in Australia has opened many doors for us in the global cannabis market. Our focus has been on Cannabis 2.0. This has established us as a key manufacturing partner to support the emerging industry. During Q3, we received an evolution to our GMP certification from the TGA. This amendment allows us to manufacture cannabis API, which includes resin, extract and isolates. We then turn this API into the medical cannabis product such as oral liquids, soft gel capsules and oil. Only two companies in Australia possess this level of license. The timing of the update could not be better. This year, the TGA is approving patient applications for medical cannabis at a record rate. We expected the approved patient population to reach 70,000 by the end of 2020. We needed to revise that estimate upwards as the number was achieved by the end of September. Month over month growth has been phenomenal. With the introduction of more clinics and a simpler prescription process, we should only see the bell curve from here.  With the TGA’s focus on changing legislation to provide CBD products over the counter in 2021, this has sparked interest from many large pharma companies for interest in our services. We’ve also been front and center in driving changes in the current regulatory framework within Australia.  Patients want quality products they can trust and legislators are looking to make it possible for us to thrive as a domestic pharma company. The current lobbying to the TGA will likely see a ban on imported non-GMP medical products. This ban has substantially increased the value of our GMP license and our share of the market. This mirrors the likes of New Zealand and Germany. Overall, Australia fits well within our corporate strategy because it has a clear regulatory regime. Australia represents the highest level of opportunity for international export of products. These clear regulations mean that our facility in Australia can work seamlessly with our Canadian operations to serve the domestic market, Asia, Latin America and Europe. It’s a powerful GMP based platform with a combination that allows for huge flexibility. From a production perspective, MediPharm Labs is now fully licensed by both the ODC and TGA. As Pat mentioned, our Asia Pacific team has been extremely active in securing customers that align well to our overall strategy, the white label supply agreement with Sunco Green Pharmaceuticals in late October being the latest example. This is the 12th customer agreement reached by our Australian team. Looking ahead, we have clear ambitions that go well beyond Australia and New Zealand. We have deliberate growth in facility optimization planned for 2021 that we’re fully capable of executing on. In my estimation, MediPharm Labs Australia is destined to be a significant contributor to the corporate value going forward. Now back to Pat.
Pat McCutcheon: Thank you, Warren, for that update.  There’s no question we’re all very excited for what’s on the horizon for Australia. In addition, we’ve formed our first customer alliances in the Latin American medical cannabis market with Cann Farm Peru and XLR8 Brazil. Like you, I’m eager to see sales ramp and everything is aligning well for 2021. I make that comment with confidence based on detailed discussions I’ve had with our customers that have reaffirmed agreed upon production schedules.  I’ll return with a few closing comments, but now I’d like to provide a financial summary. Bobby, take it away. 
Bobby Kwan: Thanks Pat, and good morning everyone. As you just heard, we are disappointed with our performance in Q3, particularly after reporting a marked improvement in Q2. However, our results continue to reflect mainly Canadian cannabis market conditions in wholesale.  Q3 revenue declined quarter over quarter by $9 million and was primarily driven by lower volumes in bulk oil along with continued price compression to the tune of approximately 12%. There are, however, encouraging developments, namely sales of finished goods products grew by 23% quarter over quarter, we made our first sale of isolates with 99% purity in the quarter, sales in Australia grew by 15%, and we signed additional sales agreements internationally, most notably with STADA, a leading pharma company in Europe as well as XLR8 in Brazil and Cann Farm in Peru.  Gross profit was significantly impacted by the combined effects of lower pricing and lower volumes insufficient to cover fixed costs, as well as the non-cash inventory write down of $6.3 million and $1.5 million write down related to non-current deposits on a few capex equipments.  Total operating expenses excluding share-based comp were marginally higher in quarter three compared to quarter two by $200,000. Lower project consultant fee and personnel related costs were offset by lower claims under Canada Emergency Wage Subsidy program, lower foreign exchange translation gains, and a small provision of approximately $500,000 for an estimate credit loss. As a result, operating income including share-based comp is a loss of $16.5 million and adjusted EBITDA is a loss of $7.2 million. Turning to a few highlights on the balance sheet, our balance sheet remains strong with cash balance at $36.5 million at the end of the quarter. As mentioned earlier, reflecting the continuing market conditions with over-supply of products along with pricing compression, we took a non-cash write down on our inventory by $6.3 million, resulting in a net position of $31.8 million.  Looking ahead, we see increasing opportunity to take advantage of low cost flower inputs coming to the market, the lowest we’ve seen to date; however, in light of the current market demand and supply dynamics, we are remaining selective and disciplined in our flower procurement efforts. We will purchase only what is required to fulfill our commitments as we look to preserve cash and maintain a healthy balance sheet.  As we’ve said since the beginning of this year, cash preservation and liquidity have become front and center objectives for the business. While we took action to achieve cost savings to date this year, we will continue to pursue and accelerate additional cost reduction initiatives. These actions combined with our cash and strong balance sheet will also enable us to execute on initiatives that drive profitable growth going forward. Now back to Pat for closing comments.
Pat McCutcheon: Thanks Bobby. As you know, Bobby is leaving us at the end of the month, and I would like to express my appreciation for his contributions over the past year. We have now initiated a search for his replacement and in the meantime, we will be well served by our current finance team. I think it’s important to note that MediPharm Labs has done much to upgrade our corporate governance over the past few months. The additions of Shelley Martin, retired CEO of Nestle Canada, Chris Taves, COO of BMO Capital Markets, and Chris Halyk, the former President of Janssen Canada Johnson & Johnson, are making a difference to the quality of our board deliberations and decision making.  Clearly MediPharm Labs is not the only company in the cannabis industry that has had to adjust and evolve. The pace of market development has been much slower than anticipated and the global pandemic has definitely taken its toll. This is not an excuse, it is a reality, and one that we are adjusting to through the cost mitigation and active sales and marketing improvements currently underway. Once again, let me be crystal clear on this point - we are aggressively cutting costs in order to accelerate our path back to profitability.  It is important to mention that our global pharmaceutical strategy takes time and significant allocation of quality and regulatory resources not seen among our Canadian LP peers. When looking at our B2C business in Canada, it is fair to compare MediPharm Labs to other peers in the industry; however, when comparing our international pharmaceutical strategy, we must be benchmarked against other global pharmaceutical API manufacturers. This is what truly differentiates MediPharm Labs and where the future growth opportunities exist. This has been our vision from day one and is the right on to satisfy the global medical cannabis market demand.  Looking ahead, I remain confident in our future. Our new customer relationships across the globe will produce revenue growth starting in early 2021. The signing of the first Tier 1 pharmaceutical company to enter the medical cannabis industry is no small feat and was years in the making. Our now wholly owned Australian subsidiary is giving a long sought after multi-jurisdictional GMP supply chain to unlock new sales agreements and serve new customers in Europe and the South Pacific. Other major PIC/S member nation markets are opening up, such as in LatAm and the U.S. These are two of the largest jurisdictions in the world that will provide further growth opportunities and expand our addressable markets given our TGA GMP certification. The future of medical cannabis is bright and MediPharm Labs is well positioned to be a prominent player in the evolving industry. Our long term vision and strategy of GMP certified platforms will create value for shareholders. This quarter’s performance is no reflection of the future potential of MediPharm Labs, rather has served as a lesson in operational efficiencies on our journey back to profitability.  Thank you for the ongoing support and understanding of the requirements and time it takes to bring higher quality products to the global medical consumer. Although GMP quality is not required to serve the domestic adult use marketplace, it is the defining characteristic that sets MediPharm Labs apart from the rest.  Now we would like to answer your questions. Operator, could you please open the line to our callers? 
Operator: [Operator instructions] The first question comes from David Kideckel of ATB Capital Markets. Your line is open.
David Kideckel: Hi, good morning. Thanks for taking my questions. I just want to dig a little deeper here, Pat and team, with respect to your independent operational review that you made reference to. Just wondering if you can comment who’s actually undertaking the review, but also and maybe more importantly, is there a strategic component to this as well? Thank you.
Pat McCutcheon: Good morning David, and thanks for the question. Yes, so the operational review, we’ve engaged a group of pharmaceutical experts that are looking to take a deeper dive into our management systems and our efficiency structuring, as well as our cost structuring. We’re looking at any real opportunity we can, actually, to position to accelerate back to profitability.  I’ll maybe just lead with those two first opening comments and Keith can add a couple details on the logistics side. 
Keith Strachan: Thanks Pat. Thanks David.  As far as the review goes, as Pat mentioned, we’re really leaving no stone unturned. I think looking at the results, there is obviously a lot of opportunity, so a lot of it is around processes and procedures. That group that we’ve brought in is really focused, bringing in some operational strength that they have from the pharmaceutical industry in a way that they could look at some of our activities and how we do that. We’ve just launched SAP in July, which is a very sophisticated system, and then now we want to make sure we’re getting the best use out if it through things like demand planning and scheduling and whatnot, so lots of opportunity there and we’re excited to see that continue and be implemented in Q4. 
David Kideckel: Okay, thanks. That’s helpful, thanks for that color.  My second question goes back to STADA, which obviously for MediPharm, this is a very important deal and also for the whole industry. I just want to know, just to level set here, you mentioned distribution, the deal part of it really coming to fruition, and I think you said February of 2021. When can we in the analyst community expect to see revenue hitting your top line here with STADA? Also, if I can take that question a bit further, I know Germany is kind of the first country you’re interested in. We’ve seen a number of LPs in fact report over the last week or so. One in particular, likely the largest in the whole sector, reported Germany in particular actually decreased in sales just through the increased competition in that country, so I’m wondering how you feel about the German market in general, and again just with STADA more generally. Thanks.
Pat McCutcheon: Thanks for that question, David. As we mentioned in the earnings script and on numerous different media events now, STADA has been our most fantastic achievement in terms of new customer relationships, and it’s definitely a signal that the Canadian cannabis companies, or a cannabis company overall globally can actually now sign deals when it proves it can execute on a GMP platform with Tier 1 pharmaceutical companies, so it’s been a fantastic relationship. It’s been a long time in the making. As we mentioned, we’re expecting to see revenue from this in mid Q1. I mentioned on the earnings call, I said February, so that’s when we’re expecting to [indiscernible] start to move in Germany. There’s a couple other little points I was add on to--which Keith can add on just with regards to next steps and how that is going to look at the rest of Europe and the growing opportunity.
Keith Strachan: Thanks Pat. Yes, I think a couple parts that you touched on there, David, other countries, other opportunities, as you know STADA operates in 120 countries around the world, so we are looking right now--as we get closer to launch in Germany, we’re looking at other countries where we can duplicate the model and get some more runway out of these SKUs that they’ll be launching, so as far as getting more out there into other countries, especially in Europe, because once we have it within the EU, it is a little bit easier to move around within, so there is a lot of opportunity there and we’ll keep everyone updated as the news comes. As far as the German market goes and some signals of decline because of completion, I think the pie there is getting probably split up a little bit more, as you mentioned for some of the other suppliers, but I think that’s why it is so important to work with someone like STADA, so whereas some producers might see increased competition as a threat, by us partnering with one of the largest pharmaceutical sales powers in the region, it really mitigates that risk from us trying to go alone.
David Kideckel: Thank you, very helpful. I’ll hop back in the queue. 
Keith Strachan: Thanks so much, David.
Operator: Your next question comes from Aaron Grey of Alliance Global Partners. Your line is open.
Aaron Grey: Hi, good morning, and thanks for the questions. First off from me, just want to come to the Canadian market, particularly on the finished formulations which saw some increase quarter over quarter. Just looking at the vape market overall, you mentioned some highlights with BC and Ontario, you’ll be getting into Quebec. Just wondering what you’re seeing right now in terms of the vape competition - it looks like we’re seeing some pricing pressure within the market, so wanted to know how you feel about the pricing of your own finished formulation products that you have with your white label partners and how you feel like that’s evolving and how it might impact the gross margin profile. Thanks.
Pat McCutcheon: Good morning Aaron and thanks for the call. I’ll mention a couple of things and then I’ll actually pass on to Keith as well for a couple of added color on logistics. Definitely with regards to the vape market, we’ve been doing well, as we mentioned in our earnings call in terms of how competitive a couple of our SKUs are in terms of volume of sales across the country. We feel very strongly, and this is exactly how we repositioned the balance of our revenue for Q3, with almost a 57% actual representation of our revenue up from 16% in Q2, vapes being a significant portion of this. We’ve also seen just over 30% growth quarter over quarter as you mentioned, this was across all the SKUs for our provincial distribution as well as we just signed Quebec recently.  I’ll pass over to Keith for a couple more details specifically on the vape SKUs.
Keith Strachan: Thanks Pat. Good to hear from you, Aaron. On vapes, I think it’s really we are remaining very competitive. As Pat mentioned in the call, we have some of the best selling vape SKUs either through our partners that are out there. Not everything that a consumer is looking for is based on price. We have a great reputation of a good quality product as well. When it comes to pricing, we do work really closely with the provinces. I think when you look at the Canadian adult use market, one of our main goals is eliminating or reducing the illicit market, and pricing is part of that strategy, so we’re taking part in that strategy so whereas right now, we might not see as great of margins, we are reducing the illicit market, which will grow the market in the adult use Canadian products, and then we’ll see those margins get better as we bring our COGS down, mainly input materials, so the flower that we’re working on now was bought at a higher price than the flower that we would be buying in the future, so that’s a great opportunity for us. The great thing about us working in the CMO B2B sphere is we do get a lot of exposure of volumes and pricing, so rather than us making a decision just at the table with just the province, we have good intel what’s going out where from some of the most major distributors and producers here in Canada as we work with them, so we’re really relying on some of that information and intel to make sure that we’re making the most informed choices when we finalize some of these pricing strategies. 
Aaron Grey: Thanks for that color, that’s helpful. Then a second question from me, to kind of continue on with the gross margins, it looks like gross profit, even if we adjust for the two write-downs that add up to about $7.8 million, it would have still been negative in the quarter. You talked about buying flower now that will be cheaper than what you currently have within inventory, so can you talk about the path to improving the gross margin profile? I know historically you haven’t given a ton between the different top line segments and the margin profiles, but as you kind of transition away from the bulk extract market and into more of the finished formulations, how best to think about the margin profile over the near to medium term? Thanks.
Pat McCutcheon: Yes, thanks Aaron. I’ll just mention a couple of things and then I’m going to pass it over to Bobby. A couple things, I would say we did mention in the call the significant reduction of prices--of input supply material that will be available for the Canadian domestic market distribution for our products will be one influencing factor, and another really comes from the point we mentioned about our operational review and looking at efficiencies in our systems and ensuring we’re actually moving forward in terms of higher numbers of production in a shorter amount of time and identifying all of those organizational management system efficiencies that we need to now, to increase the margin base. I will pass over to Bobby for a little added color in terms of the gross margin.
Bobby Kwan: Thanks Pat. Thanks Aaron for that question. I will just build on what Pat just said. I think looking forward, without giving obviously any firm guidance, the drivers for some improvement to be expected going forward are namely in reverse order that Pat mentioned: one, certainly our ongoing effort with respect to some efficiencies and process reviews that was referenced earlier. All those little bits will add up, but the biggest driver will be twofold. One, the input material that hopefully going forward, if and when we need some of those selective procurements, will certainly be, again as I noted in my comments, reflective of the current market conditions of the input materials, which is again at a very low point, which is great in terms of input costs. The second bit will be hopefully our continuing evolution in terms of our portfolio and the product mix, and certainly if you look to 2021 and on the way out, the international side of our portfolio, as mentioned a number of times, will ramp up and will continue to ramp up, and with that the positive effect of that shift in mix, Aaron, alone should be positive for our margin structure. 
Aaron Grey: Okay, great. Thanks for that color. I’ll jump back in the queue.
Operator: Your next question comes from Scott Fortune. Your line is open.
Scott Fortune: Can I follow up a little bit on Australia? You quantify what you’re doing there and then you mentioned international mix. How should we look at the cadence or the percentage of revenues as we look out through 2021 coming on the international side of things?
Pat McCutcheon: Yes Scott, it must be very early from where you’re calling from this morning, thanks for calling in. I’m actually going to push over to Warren to give a little bit of color on the Australian business and the number of contracts and how it’s now increasing, and then I can finish off with how we’re going to look at the percentage mix of--kind of representation of revenue over the next year. Warren, do you want to answer that element, please?
Warren Everitt: Thanks Scott. I guess in terms of the first couple quarters of revenue as a company in Australia, we’ve obviously only been able to focus in terms of actual transactions to deliver product out to the end of the quarter to companies actually in Australia, and that’s obviously because the aspect of actually having our license here in Australia gives us the opportunity to get the product registered in other countries, like New Zealand, Germany and Europe. That regulatory pathway, even with the GMP license, does take some time, and the good news is we’ve been working on that actually behind the scenes for many months now, so we’re late stage and now evolution of getting approved from the Ministry of Healthy in New Zealand [indiscernible] stage of getting our products approved to be registered with MediPharm in Germany, so we’re looking at the early quarters of next year will be very productive in terms of transacting actual product delivery from Australian facilities to those international markets.  As far as proportion of mix, obviously it depends on the maturity of the market. New Zealand is an immature market, but obviously companies entering that market space don’t have the opportunity to actually execute on delivering products to their own jurisdiction because they need to go through the same challenges and evolutions of building a company like we have here in Australia, so that sort of 36-month exercise needs to take place in country and so for the next three years, there will be requirements for us to supply those organizations, and likewise into Europe, while the market is evolving [indiscernible], a lot of companies are not necessarily looking [indiscernible] capital expenditure of facilities to execute on a business model, so even when we look at the question earlier, a question around opportunities in those markets, do we see competition, the reality is we’re still a white label solution so we’re not the likes of Tilray or other companies that potentially actually pushes their own brand into market. We’re a company that actually provides a solution for a company that wants to enter with a brand, so that competition is not necessarily as difficult to navigate when you’re a solution provider to multiple different companies.
Bobby Kwan: Thanks much, Warren. I’ll just a couple points, Scott, to your question on percentages. As you know, we’re very conservative in terms of how we position any guidance, but we are very much expecting the international sales to Australia to increase, and it will be anywhere between, let’s say, 30% and 40% through 2021, that we’d be very excited to see that growth over the next year. 
Scott Fortune: Great, I appreciate the color. Then real quick, with Mexico moving forward, have you guys looked at opportunity in Mexico or other countries that you think are coming on board here?
Pat McCutcheon: Yes, thanks for that question, Scott. I’m going to pass it over to Keith for a couple details on our international sales strategy.
Keith Strachan: Morning Scott. I think it’s exciting in a lot of new jurisdictions as people move towards a medical or legalized market and how we can participate in those. With Mexico in particular being a member of the PIC/S nations, so they’re part of the pharmaceutical inspection co-op which is the same co-op that the TGA belongs to, which has given us a GMP license in both Australia and in Canada, so we expect the regulatory authorities in a place like Mexico to look at us under the same lens as the inspectors work under the same guidelines and regulations, so really exciting there. Obviously new countries are sometimes hard to do business in unless you find the right local partners, but I think MediPharm has a track record of success in these areas. We’ve signed agreements in South America, where people sometimes have the same commentary as far as cracking into those markets, so with contracts and products being registered in places like Brazil and Peru, as more markets open up in Central or South America, there’s a massive opportunity there, and then the expansion in Europe as we’ve signed agreements in places like the U.K., Denmark and of course Germany. So Mexico, but really all new markets, we see as a massive opportunity because it will come with heavy regulation, and that’s one of our strong suits. 
Pat McCutcheon: I’ll add on another little point to this. One of the things too we’ve seen recently is the launch of our clinical trial portfolio, our new trial that’s now going to be looking at dialysis patients, taking different cannabinoid products with different [indiscernible] mechanisms. But we’ve looked at our clinical trial development and actually bringing on new countries to actually be involved in this, which gives us then the ability to work with those regulatory bodies and also have a system where we will have data that will be able to be used in a number of different countries, so we are targeting Latin American countries as opportunities to be involved in some of our clinical trial portfolio, which we feel accelerates commercial opportunities down the path.
Scott Fortune: Great, appreciate the color. I will jump back in the queue.
Operator: Again, if you would like to ask a question or re-queue for additional questions, please press star then the number one on your telephone keypad. The next question comes from Adam Buckham of Scotiabank. Your line is open.
Adam Buckham: Good morning, thanks for taking my questions. I wanted to get back to the STADA contract. Are you guys able to give a little more color around the resources that are being dedicated by STADA to it, maybe the number of sales staff or something along those lines? It’s already been highlighted a few times, but obviously the German market is getting increasingly competitive for cannabis, so it’d be helpful to understand how STADA is going to apply resources to help drive sales.
Pat McCutcheon: Hi Adam, thanks for that question. I’ll start by just saying we have obviously been conservative in terms of detail on the [indiscernible] sales and marketing strategy and the sales team itself, but I am going to pass it over to Keith just to give a little bit more color in terms of how involved they are from the logistics side and actually how dynamic and broad a team that actually now is engaged directly with MediPharm to execute on this deal in early 2021.
Keith Strachan: Thanks Pat. STADA is obviously our most important customer considering the size of the company, the term of the deal as far as timelines go and the opportunity to expand it. I think that the importance of the relationship is also mirrored on the STADA side - they have applied significant resources to the project to make it a success. I think with what STADA has done, especially in the last five years is very tactical, and when they do something, they do it with conviction, so I think we can be quite confident in how that will roll out. As far as some of the additional color on specifics of sales strategies, that’s a little bit harder to get into obviously because we don’t want to hinder our ability to remain competitive, but there is a massive concentrated effort on both sides.
Adam Buckham: Okay, that’s great. Thanks. My second question is likely for Warren. If we think about Q3, you touched on the regulatory bottlenecks that have slowed the revenue profile of new contracts in new jurisdictions. As we think about Australia, were there any bottlenecks that provided a barrier to growth in Q3 or was the sort of--I think it was 12% growth that was highlighted, is that the sort of cadence to be thinking about as these new contracts roll on for you guys, because I think it was highlighted that 2021 would likely be the big ramp running through all the contracts that have been signed, right?
Warren Everitt: I guess the reality is in terms of if you look at the evolution, if you go back through the series of different press releases, the first lot of materials that we distributed into Canada were actually manufactured in Canada and distributed to Australia, and then sold into the domestic market, and obviously we could do that because of our duplicate certifications on the GMP in Canada. You also see in the messaging that I had earlier, where I talked about the fact that the Australian market actually is going to become quick significantly stricter going forward in relation to products coming in internationally. Australia has been quite free in terms of how products [indiscernible] market in Australia, the domestic body and the Therapeutics Goods Administration is actually going to close the borders on anything that’s non-GMP, which is going to make it significantly more difficult for Canadian companies and other companies throughout Europe who don’t have that GMP certification under MRA to get products into Australia. Then the second lot of products in this quarter were distributed and manufactured locally, so we’re sort of evolving our business model because we’re maturing and we have the actual capability now with full licensing to actually execute on products locally. Obviously we have products with API input material coming from our parent in Canada. The evolution should continue to ramp. Obviously the number represented there was the fact that up until domestically we projected 70,000 patients throughout this year in 2020, we hit that number in September, and you look at the doubling month on month of patient acceptance through the prescription process, which is a special access scheme, but next year specifically the big ramp in 2021 is that over-the-counter process, so CBD specifically is going to be de-scheduled and that’s going to be over the counter, so you’ll be able to go into your pharmacy and you’ll be able to talk to your pharmacist and be able to access CBD products. Now, the domestic market companies, pharmaceutical [indiscernible] companies which have large, large market presence here are all vying to have the first lots of CBD products over the counter as that de-scheduling would happen in Q1, and obviously they need a GMP platform which is the minimum requirement for manufacturing that product to actually enter the market. The types of opportunities those companies are looking for are the [indiscernible], so tincture bottles, soft gel capsules, and obviously we have the capability to execute on that, so the domestic market here is ramping significantly and we continue to capture market share with companies who are entering this space.  You look at CBD cannabis companies overseas, a lot of them are not looking at necessarily setting up capital expenditures or execution capabilities here in cultivation and manufacturing. They’re actually setting up sales arms in the domestic market to bring the products to Australian patients. Now with the closing of the border and the GMP, they also will require a manufacturing partner to create those products under GMP in Australia. They can’t be importing them from Canada unless they have that certification, which a lot of them do not, so there’s a big ramp as well as in terms of the Canadian cannabis companies entering the market looking for domestic manufacturing partners to grow their market share here locally as well.
Adam Buckham: Great, thanks. I’ll get back in queue.
Pat McCutcheon: Thanks much, Adam.
Operator: Again, if you would like to ask a question or re-queue for additional questions, press star then the number one on your telephone keypad.  That was our final question for today. I will now return the call to Mr. Pat McCutcheon for closing comments.
Operator:
Pat McCutcheon: Thanks so much for that. Once again, let me be crystal clear on this point - we are aggressively cutting costs in order to accelerate our path back to profitability, profitability that we expect to return to in 2021. It is important to mention that our global pharmaceutical strategy takes time and significant allocation of quality regulatory resources not seen among our other LP peers, which we are often inappropriately compared to. Our new customer relationships across the globe will produce revenue growth starting early 2021, real revenue growth, opportunities that are not available even to the vast majority of our industry peers.  The signing with the first Tier 1 pharmaceutical company to enter the medical cannabis industry was no small feat and was years in the making. It was an incredible achievement of our team, and we couldn’t be more proud of this. Although GMP quality is not required to serve the domestic adult use market in Canada, it is the defining characteristic that sets MediPharm Labs apart from the rest and it truly is the core reason why we have now been able to sign such major significant pharmaceutical deals, such as with STADA, that immediately gives us an overnight competitive advantage in Europe. For this fundamental core reason, we will continue to sign and execute on deals of this magnitude and size going forward.  Thank you very much.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.